Operator: Good afternoon, and welcome to the Orezone Quarter 2 2025 Results Webcast and Conference Call. I am Frans, and I'll be the operator assisting you today. [Operator Instructions] I would now like to turn the call over to Patrick Downey, President and CEO. Please go ahead.
Patrick Gerard Downey: Thank you. And as the operator said, welcome to Orezone's Q2 2025 Financial Operations Webcast Presentation and Conference Call. With me today will be Peter Tam, Executive Vice President and CFO, who will go through the financial operational highlights for the quarter later on in the presentation. As you see, this is an important notice, including forward-looking statements, please take time to read these at your leisure. So straight into the Q2 2025 highlights, which was another solid quarter for Bomboré. Gold production was 27,548 ounces and on track to achieve our 2025 guidance of 115,000 to 130,000 ounces for the year. Gold sales were 28,265 ounces for the quarter at an average realized price of $3,338 an ounce, resulting in $94.5 million in revenue. All-in sustaining costs of $830 (sic) [ $1,830 ] per ounce sold. Costs were somewhat impacted by external factors, including royalties, grid power and foreign exchange, which added $236 per ounce to the budget. Royalties added $92. The grid power interruptions added approximately $99 with FX contributing $45 of that $236. However, I'm happy to state that operations were very solid and all costs were generally within budget for the quarter. Strong financial position for the quarter. We ended the quarter with $72.6 million in cash. We obviously added with the Australian listing. We will talk about that later. Undrawn senior debt of $31.3 million. So available liquidity of $103.9 million at the end of the quarter. And excitingly, our hard rock expansion remains on schedule and on budget. Stage 1 commissioning is scheduled for Q4 2025, and I'll go through that a little later in the presentation. And importantly, subsequent to the quarter, we commenced trading on the ASX under the ticker ORE, and we closed AUD 75 million IPO to accelerate Stage 2 to bring us to 220,000 to 250,000 ounces a year. And that Stage 2 hard rock received Board approval and final investment decision to proceed, which we'll talk about again later in the conference call. I'll now hand over to Peter Tam to take you through the production and financial operational highlights.
Peter Tam: Thanks, Patrick. So for production and unit costs, for mining, we mined 6 million tonnes in Q2, which is comparable to the 6.1 million tonnes mined in Q1 as mining volumes year-to-date are slightly ahead of plan. Early preparation of hard rock mining is taking shape as the main mining contractor is in the process of mining -- mobilizing additional equipment to site in the third quarter to handle the added material movement upon the hard rock start-up. For processing, 1.56 million tonnes were treated in the quarter, an improvement of 3% over the previous quarter and 20% above nameplate, while head grade declined to 0.62 grams per tonne, consistent with the mine plan. Grades are anticipated to improve starting in Q4 once hot commissioning of the hard rock plant commences. Unit cash costs were negatively impacted in Q2 from a stronger XOF currency, which rose on average by 7% against the U.S. dollar when compared to Q1 averages. In addition, the seasonal impact of lower grid availability was experienced again this year with grid utilization at 50% in Q2 when compared to 90% in the second half of 2024 and 75% in Q1 of this year. Importantly, grid utilization has seen a steady improvement starting in July with utilization at 76% for July and over 90% for August to date. Next slide. Financial and operating highlights. A record gold prices realized in Q2 drove Orezone's quarterly financial performance with earnings from mine operations of $40 million, adjusted EBITDA of $45.5 million, adjusted earnings attributable to shareholders of Orezone of $20.6 million and adjusted earnings per share attributable to Orezone shareholders of $0.04. Gold sales remain unhedged. From a cash flow standpoint, the company continued with its reinvestment and expansion of the Bomboré gold mine with $43.5 million spent on investing cash flow as the company advances towards first gold on its hard rock expansion later this year. The heavy investment in this quarter led to free cash flow being a negative $27.2 million. However, available liquidity remained strong at $103.9 million, as stated earlier at quarter end, which was further bolstered by the successful closing of a AUD 75 million equity offering in early August. The company is well funded to execute on its growth initiatives for the remainder of this year, including the recent Board sanctioned Stage 2 hard rock expansion. With that, I'll hand it back to you, Patrick.
Patrick Gerard Downey: Thanks, Peter. As noted, 2025 is really a significant transition year for us. We're in the middle of the Stage 1 hard rock expansion, which will add 2.5 million tonnes of hard rock to the existing 6.2 million of oxide. Construction is well advanced, commissioning planned for Q4 of 2025, which will drive us into 170,000 to 180,000 ounces as we exit 2025 into 2026. Obviously, that would -- at current gold prices, that would drive significant additional cash flow. We're accelerating the Stage 2 hard rock. We were originally planning to do that in 2027 going into -- sorry, 2028 going into 2029. We're now going to commence construction in 2026. The Board has approved the final investment decision. So we'll pull forward that expansion by 2 years with the construction in Q4 2025 into 2026 with commissioning in 2026, which would bring us into a production level of 220,000 to 250,000 ounces a year starting in 2027 with very little debt. Current debt on the balance sheet is around $68 million. So again, extremely low debt on the balance sheet with -- after the financing of about $150 million of available liquidity. In the next 16 months, Bomboré will become one of the larger mines in West Africa. So just quickly on where we're at with the Stage 1 expansion. Currently, we're on schedule and budget for the CapEx and start-up in Q4. Project completion reached 63% by the end of Q2. Obviously, we continue to advance that. Engineering and procurement is now fully complete. Jaw crusher installation is underway, and I will show you some photographs here as we go through the presentation. Ore bin and structural steel commenced. SAG mill installation is now well advanced. CIL tank installation completed and tested and structural steel installation on top of the tanks has commenced, and the TSF expansion is well in hand. As I said, commissioning in Q4 of 2025. I just want to alert you, there is an updated video on the website, so you can get on the website and look at that. It's a very, very good video of where we're at with the construction and what's been happening over the past few months and weeks. So the jaw crusher and dump pocket, which is the last major concrete pour is in its final stages. We're starting to install steel work and equipment there now. The ore bin, lime silo, et cetera, is well in hand in terms of erection. We start putting in the connection conveyor, feed conveyor to the SAG mill next. SAG mill is well in hand. Concrete is complete. Installation is well advanced, as you can see from this photograph. Trash screen leading into the CIL circuit is up and installed. We started installing pipe work, et cetera, into those various distribution tanks for the CIL. Next, photographs of the CIL tanks, which have all been water tested, all the intertank launders in place. You can see the top of tank steel work on the ground, and we'll start lifting that and erecting it on top of the tanks in the coming days. And the TSF expansion well in hand. And again, the video really shows that how much work has been done on that, and that will be finalized in essentially Q4 of this year. So the next stage, it's a very simple expansion. We're going from 2.5 million tonnes to 5.5 million tonnes per annum. It will drive the overall production to 220,000 to 250,000 ounces a year. So essentially, in the next 16 months, we will double our production. We'll add 4 additional CIL tanks, which are identical to what we have, a ball mill, which we've ordered; a pebble crusher, which we've ordered; an oxygen plant, which we've ordered; a thickener and water tank, a gold room expansion, the elution system is exactly a replica of the existing oxide circuit elution system. So no changes there. Engineering is well advanced. And as I stated, procurement is underway, and we're in the final negotiation with the existing contractors. So those contractors will stay on site and ramp straight into the construction of Phase 2, which gives us great economics in terms of [ mob ] and utilization of those contractors going forward. So finally, to close out, strong quarter again, costs essentially affected by outside factors. Our completion of Stage 1 is well in hand. That will bring our production to 170,000 to 185,000. It will also give us operational flexibility as we have a current stand-alone oxide and stand-alone hard rock. We've completed our Australian listing and began trading on August 8. It will increase the trading liquidity, new investors, access to mining-focused funds, and that recent financing allows us to really ramp into Stage 2 expansion right away. We will have drilling results next week. Very excited. We continue to add to the current resource base and drill outside of that resource base. We're getting a significant understanding now of the structural controls. I think you will see that in this release coming out in the coming week. We've drilled approximately 30,000 meters in the first half of this year, successful on many fronts, including the North Zone footwall extended by 200 meters beyond the reserve pit, 800 meters along strike; P17, 300 meters down plunge. These are all been big step- outs. We're not taking small step-outs. We believe this is a big system, and that's been proven out to date. And finally, we continue to have strong community and government support with the expansion, more jobs, more investment, more growth, and it's been a very strong relationship with both our local communities and with the existing government. And we continue to look forward to doing that in the coming months and years. Okay. Thank you very much for that, and I'll hand you back to the operator.
Operator: [Operator Instructions] And your first question comes from the line of Jeremy Hoy from Canaccord Genuity.
Jeremy Hoy: First one for me is on costs, obviously impacted by some external factors this quarter. But otherwise, as per plan, as you said, do you see any risk to achieving the AISC guidance for the year?
Patrick Gerard Downey: Yes. Good question, Jeremy. We rightly relook at that in Q3. Obviously, we're really at 90% power now. The royalties and the ForEx, we really can't do anything about at this point. Obviously, the power interruption, as Peter said, was seasonal, but really also affected by a fire in the substation, which was nothing to do with us. It was on the SONABEL substation. But we really want to look at it when we get into the -- by the end of Q3 because we'll be ramping into the hard rock expansion, and that will really tell us when we're -- by that point, how well that will be and how much that will add. And -- so we'll have a better understanding at that point where that would be driving cost towards the all-in sustaining. As you know, in 2023 and 2024, with the Q4s and whatever that we had, we were well on track at the end. Q2 didn't look great in either quarter. And Q3 and Q4, we drove it all back again. And that tends to happen on this project because of the seasonality of the operation.
Jeremy Hoy: Yes. You've been consistent about expecting those grades to go up and a bigger Q4. On that note, how is sequencing progressing towards the hard rock?
Patrick Gerard Downey: Very well. Actually, I'm heading down there next week, but very well. Contracts are performing extremely well. As you know, we do all of our own construction management. That's our job, our team, and they've been driving it. We got a lot of equipment, steel work, whatever deliveries. Sometimes we even look, do we need to airfreight stuff in this construction point? No. It's all going very well. So all the mechanical pieces, which has -- really happens quite quickly on these type of projects will really start occurring in August and September of this year. We're already mined out at hard rock in various areas, including P17 South, which is our high-grade zone. So we'll expect to start commissioning that jaw crusher sometime early Q4.
Jeremy Hoy: That's great to know. Next one for me is on the -- you had a note on the government free carry interest. You're currently in negotiations and looking at moving the government interest of 10% to 15%. Just wondering, are there any other points up for discussion during these talks? Or is it just that increased free carry interest?
Patrick Gerard Downey: No, it's just -- it's the free carry interest, the main one. We -- I think everybody else is pretty much on it. We have our meetings in the coming weeks, so we expect to be on it. There's no reason why we wouldn't be on it. So we expect that to happen in the coming weeks. So we will be at that 85% like IAMGOLD and Endeavour and WAF and everybody else.
Jeremy Hoy: Yes. Understood. And do you see this as being a good stable place to be in terms of where the mining industry in country sits with relation to the government?
Patrick Gerard Downey: We've always had very strong relationship with the government. I think everybody else would say the same. The government -- the Ministry of Mines, Ministry of Finance, Ministry of Environment, et cetera, are all very well-run ministries. Even now, we're starting to see, I know that various companies are getting their VAT back, which is quite unique in some parts of West Africa. You hear about it, but we're actually in Burkina. [ Basically, ] it's reasonably well run. So we're seeing that happening right now. As you saw, people are dividending out of the country. I think IAMGOLD declared a large dividend recently. So overall, the government in terms of running the operations have been very helpful. Even when we're doing our hard rock expansion and getting our permits updated, it did not take a heck of a long time to get that done. So they generally work reasonably well with you in that regard. Big thing for them is also good relationships with your communities, which we obviously have.
Jeremy Hoy: Yes, that's clear. On the exploration results, you guys have been stepping out and you've been hitting and proving out this theory of deeper mineralization. Can we expect to see progressive mineral resource updates? Or what might the timing be to see an update resulting from this exploration program?
Patrick Gerard Downey: Well, I don't know how much of this drilling will get into that, but we will do an update and likely be ready Q1 of next year. So that's what we're doing. We just started that right now. And so we expect to have that out and ready by that time. A lot of work on that, obviously, new gold price, et cetera, et cetera. So we do expect to considerably expand our reserves, but we'll see where it all lands late this year, early next year.
Operator: [Operator Instructions] There are no further questions at this time. And I would now like to turn the call back over to Patrick Downey for the closing remarks. Please go ahead.
Patrick Gerard Downey: Thank you very much. Okay. As I said, another solid operating quarter very much in terms of plan, advancing our Stage 1, extremely excited that we're now in the Australian Stock Exchange and also got approval to ramp up to Stage 2. As I said, look forward to some further exploration results in the coming days and should be another solid year for Orezone going forward. Thank you very much.